Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Seanergy Maritime Holdings Corp. Conference Call on the Third Quarter and Nine Months Ended September 30, 2024, Financial Results. We have with us Mr. Stamatios Tsantanis, Chairman and CEO; and Mr. Stavros Gyftakis, Chief Financial Officer of Seanergy Maritime Holdings Corp. At this time, all participants are in listen-only mode. There will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference call is being recorded today, Tuesday, November 5, 2024. The archived webcast of the conference call will soon be made available on the Seanergy website, www.seanergymaritime.com. Under the Webcast and Presentation section under the Investor Relations page. Many of the remarks today contain forward-looking statements based on current expectations. Actual results may differ materially from the results projected from those forward-looking statements. Additional information concerning factors that can cause the actual results to differ materially from those in the forward-looking statements is contained in the third quarter and nine months ended September 30, 2024, earnings release, which is available on the Seanergy website again, www.seanergymaritime.com. I would now like to turn the conference over to one of your speaker today, the Chairman and CEO of the company, Mr. Stamatios Tsantanis. Please go ahead, sir.
Stamatios Tsantanis: Thank you, operator and welcome everyone. Today I'm excited to present our financial results for the third quarter, and first nine months of 2024, along with updates of recent developments at Seanergy. Building on a record second quarter performance, we maintained strong momentum in Q3 thanks to the robust Capesize market, and our innovative commercial strategy, we once again outperformed the index. In Q3, we delivered net income of $12.5 million and adjusted EBITDA of $26.8 million, a dramatic improvement from a prior year's Q3 net loss of $5 million and adjusted EBITDA of $9.5 million. For the first nine months, net income was $36.8 million and adjusted EBITDA reached $78 million, a remarkable leap from the previous year's nine months loss, and EBITDA of $8.5 million and $29.1 million respectively. Our Board of Directors has approved a dividend of $0.26 per share, a cash dividend and we're continuing share buybacks, representing an annualized yield of approximately 11.1%. This quarter alone, buybacks amounted to $1 million and we're carrying this momentum into Q4. Including these buybacks, our total capital return per share this quarter is approximately $0.30 per share. These actions reflect our unwavering commitment to maximizing shareholder value, and aligning with our focused Capesize strategy, which has proven highly successful. Commercial highlights, our Q3, daily time charter equivalent rate of around $26,500 per day outperformed the Baltic Capesize Index by about 7%, and our nine-month daily TCE averaged around $25,800 above the 23,970 index average. By locking in about 40% of fleet days at favorable rates, we maximized the returns and maintained a competitive edge. Looking ahead, we're well positioned to capitalize on Capesize market trends, to continue rewarding our shareholders. For Q4, we expect an indicative time charter equivalent of approximately $23,400 a day, thanks to securing 42% of our days at a fixed daily rate of $28,000. Notably, the current spot rate is approximately $15,300 per day. For 2025, we've also locked in earnings for two vessels, at an average rate of $24,000 a day, with one agreement offering additional profit sharing above the rate. Fleet update. In October, we wrapped up our 2024 acquisitions by taking delivery of the 2012 built Kaizenship at the Capesize, completing another successful year of strategic fleet growth. The combined investment in Iconship and Kaizenship was $69.3 million, reflecting excellent value against their market estimates. Both vessels are on index linked charters at a premium to the BCI, with contracts extending into 2025. We also exercised an amazing purchase option of $20,250,000 on the 2011 build new customer Titanship, reinforcing our growth strategy with prime assets. Notably, the current value of the Titanship exceeds $35 million. We now operate 19 vessels and we will continue to explore strategic opportunities for disciplined growth. As always, our goal is to make well timed acquisitions that, maximize long-term returns aligning with favorable Capesize market trends. Legal and shareholder report as you may be aware, last week the High Court of the Marshall Islands, dismissed the case brought against Seanergy by George Economou. This ruling reaffirms our adherence to good corporate governance processes, and clears the path to continue pursuing our strategic goals. Additionally, at yesterday's AGM, our common shareholders showed their resounding support for Seanergy, our Board and our strategy, approving our proposals and rejecting those of Mr. Economou. We greatly appreciate our shareholders support for our Board. We believe these results show that Seanergy shareholders recognize the company's strategy and that the right Board and governance is in place, to continue delivering strong value creation over the near and long-term. Over the past few years, Seanergy's Board and Management team have successfully positioned the company as a leading public, pure play, growth oriented Capesize company. With our thoughtful and focused approach we believe Seanergy is well positioned, to continue delivering strong outperformance through the cycle, and attractive shareholder returns. Thank you again to our shareholders, for the trust they have placed in our Board. We look forward to continue to engage with our investors, in taking actions that are in the best interest of all Seanergy shareholders. Before I hand over to Stavros, to go over our financial performance, I want to emphasize that we are glad to put this matter behind us. We're here today to discuss our performance, how Seanergy is on track across all major goals, with a powerful position in the Capesize sector, and as such won't be commenting further on the matter with Mr. Economou. With that Stavros, please go ahead, and I will return to provide a quick look at the Capesize market conditions.
Stavros Gyftakis: Thanks Stamatios, and welcome to everyone joining us today for our earnings call. I'd like to take a moment to review the key highlights from our financial performance, for the third quarter and the nine-month period and ending September 30, 2024. In the third quarter we expanded our record profitability to the nine-month period, driven by a robust Capesize freight market and our strategic hedging initiatives, as previously noted by Stamatios. Our net revenue for the quarter reached $44.4 million, representing an impressive 80% increase year-over-year. Additionally, we reported adjusted EBITDA of $26.8 million, nearly tripling, compared to the same quarter last year. Our net income stands at $12.5 million, a significant turnaround from the lows, we experienced last year, translating to earnings per share of $0.61 For the nine-month period. Our net revenue and adjusted EBITDA are $125.8 million and $78 million respectively, which reflect a substantial improvement over the prior year. Our profitability during this time frame, has reached new highs with a net income of $36.8 million, also a notable recovery from the net loss we reported in 2023, leading to an EPS of $1.8. Looking ahead, we remain optimistic that despite the temporary softening in the Capesize freight market, we will achieve another strong quarter, and close the year with similarly solid performance. Our confidence is reinforced by our strategy, having secured 40% of our fourth quarter days at a fixed average daily rate of approximately $28,000, significantly above current market rates. Turning to our balance sheet. I'm pleased to report a solid liquidity position. As of the end of the quarter, our cash reserves were $41.3 million, equating to roughly $2.3 million per vessel. This has been maintained despite ongoing dividends, share buybacks and nearly $2.7 million equity payment related to the acquisition of the Kaizenship, along with our regular debt repayments. Our consistent cash position enables us to pursue our strategic goals, while ensuring operational flexibility and managing liquidity risk. Importantly, our success and stability have enabled us to declare nearly $13.6 million in cash dividends, to shareholders thus far this year. Our outstanding debt as of the end of the third quarter was $242.4 million, with a net debt to total assets ratio of approximately 38%. Notably, the average market value of our vessels exceeds our debt per vessel, by over $20 million. In terms of new financing arrangements, we have recently secured a $34 million loan facility from one of our existing lenders. This loan financed the $20.2 million purchase option for the Titanship and refinanced the current $13.2 million indebtedness of the partnership. The loan has a 5-year term with an interest rate of term - SOFR plus 2.4% per annum, yielding a 50 basis points improvement, compared to the prior loan for the partnership. The new facility will amortize through four quarterly payments of $1.2 million, followed by 16 payments of $0.9 million and a $14.8 million balloon payment at maturity. Additionally, we entered into a $28.5 million sale and leaseback agreement with the Japanese lessor, to partially finance the acquisition of the Kaizenship. Under this arrangement, the vessel was sold and chartered back on a bareboat basis, with options to repurchase at specified prices after October 2028. Moreover, at the end of the bareboat period, Seanergy will be obliged to purchase the vessel for approximately $8.3 million. This financing entails an interest rate of one month term SOFR plus 2.5% per annum with amortization over 72 monthly payments of approximately $0.3 million. Lastly, concerning our buyback activity, year-to-date, we have repurchased 404,041 common shares at an average price of $9.58 per share, totaling $3.9 million. All repurchased shares have been canceled, and removed from our share capital. That concludes my review of our financial results. I will now pass the call back to Stamatios, who will provide insights into the Capesize market and industry fundamentals. Stamatios?
Stamatios Tsantanis: Thank you, Stavros. In the third quarter of 2024, the Capesize market continued its upward momentum with the Baltic Capesize Index averaging $24,900 a day, up from $22,700 in Q2. For further perspective, BCI's year-to-date average of approximately $24,000 marks a significant leap from last year's $12,700. That's almost double. Demand is driving the strong market, especially with increased cargo flows from the Atlantic Basin. Capesize ton-mile demand is up 4% in 2024, outpacing fleet growth of just 2%. Key demand highlights include Brazilian iron ore. Exports are up 6% year-to-date, fueled by efficiency gains at Vale. This positive trend is likely to extend, keeping demand strong. Guinea bauxite, exports surged 17%, driven by aluminum's critical role in the industry and energy transition. We expect steady growth here in the years to come. While typical inventory cycles and weather can create short-term fluctuations, demand for iron ore and bauxite has solid long-term potential. The Simandou iron ore project in Guinea is set to further boost Capesize demand by 2026, with initial exports expected as soon as late 2025. Coal demand. China's coal imports are climbing as domestic supply struggles to keep pace with demand. While renewables will eventually become more dominant in the future, coal remains essential in China, India and Southeast Asia and will likely follow a steady demand path, over the next 10 to 15 years. On the supply side, Capesize vessel additions are limited. The current order book stands at the lowest level of the last 20 years, and upcoming environmental regulations will likely restrict growth even further. By 2025, net fleet growth could drop to 1%, or even zero, especially with a heavy dry-docking schedule as many vessels from the 2010, 2012 build period, will undergo mandatory surveys. Newbuilding orders face barriers such as high cost, limited shipyard slots and environmental requirements. This tight supply outlook supports a very favorable market balance for the Capesize owners in the coming years. To conclude, Seanergy is positioned to leverage these positive long-term Capesize trends with three main objectives. Capital returns, we prioritize shareholder returns through dividends and share buybacks. Fleet growth, we focus on strategic fleet growth that delivers strong returns on capital, positioning us for increased shareholder value. Financial strength. We are committed to managing these goals alongside Capesize market volatility, maintaining a balance sheet that supports flexibility, while maximizing returns. Seanergy is delivering on these goals, as reflected in our financial performance, and share price growth. On that note, I would like to turn the call over to the operator. So operator, please take the call. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Liam Burke from B. Riley Financial. Your line is open. Please go ahead. Mr. Liam Burke from B. Riley Financial. Your line is now open. Please go ahead. You may ask your question. There seems to be a technical issue with Liam Burke's line. Are you happy to take the next question?
Stamatios Tsantanis: Yes, please. And we can come back to Liam - if he's back on.
Operator: Fantastic, thank you. We're going to take our next question. And the next question comes from the line of Mark Reichman from Noble Capital Markets. Please go ahead. Your line is now open.
Mark Reichman: Thank you. Your guidance for operating days during the fourth quarter is a little above our estimate. I think we had fewer operating days associated with the squireship, premiership and the apparel ship. And so I was just wondering what your thoughts are on the first and second quarters of 2025. I mean, was any off-hire or dry docking activities deferred? Just some visibility there would be helpful.
Stamatios Tsantanis: Hi Mark, good to hear from you. Yes, I mean, there will be some dry dockings. We are usually trying to time those in the first quarter where the market is historically softer. So we expect to have, I mean, approximately six dry dockings next year, three we expect to do in the first quarter. And then another three in each of the remaining three quarters of the year.
Mark Reichman: Okay. So three in the first quarter, three over the course of the remaining nine months.
Stamatios Tsantanis: Exactly…
Mark Reichman: Those three over the remaining course of the nine months, are those kind of evenly, can you just kind of put in per quarter? Or do you expect those to be?
Stamatios Tsantanis: Yes, we have timed those to be one per quarter.
Mark Reichman: Okay. Great.
Stamatios Tsantanis: So in the stronger quarters... Yes, please go ahead.
Mark Reichman: Well, the second question I had, you mentioned the sustainable strong balance sheet as you position to expand your fleet. What are your expectations in terms of capital expenditures for the remainder of 2024 and 2025? And any thoughts on acquisition sales or sales and leasebacks?
Stavros Gyftakis: Well, good morning from me, I'm Mark. We're always open to explore strategic conservative acquisitions. So there might be some acquisitions announced maybe in Q4, maybe in Q1. But we intend to keep and maintain a very healthy balance sheet without disrupting the leverage facility. We're not going to go above our estimate, but there might be one or two ships announced in the following quarters.
Mark Reichman: Okay, great. Well, that's very helpful. Thank you.
Stavros Gyftakis: You're very welcome. Have a great day.
Operator: Thank you. We're going to take our next question. Please stand by. And the next question comes from the line of Lars Eide from Arctic Securities. Please go ahead. Your line is open.
Lars Eide: Hello. First of all, congrats on another great quarter.
Stamatios Tsantanis: Thank you very much.
Lars Eide: My question is about the market. We've been reading recently that there's been some issues getting bookshed of Guinea, the government will ban on export of CGA. Are you familiar with this situation? Or could you shed some light on this?
Stamatios Tsantanis: Well, we've heard some rumors about potential disruptions in West Africa, but those rumors have not been substantiated. I'm pretty sure that whatever disruption is out there will come back into normality pretty soon. So, we don't anticipate any long-term effect on that front at all.
Lars Eide: Okay. So shortly then. Okay. Great. Thank you very much.
Stamatios Tsantanis: Thank you. Have a good afternoon.
Operator: Thank you. We are going to take our next question. Please stand by. Your next question comes from the line of Tate Sullivan from Maxim Group. Please go ahead. Your line is now open.
Tate Sullivan: Thank you. Hello, Good day. Stamatios, can you go into a background on the decision to increase the dividend slightly from $0.25 to $0.26. I was thinking maybe a slight decrease with what the rates did quarter-over-quarter. Did you decide to reduce your cash reserve? Or how did you think about it?
Stamatios Tsantanis: Good morning, Tate, Nice to hear from you and Happy Election's Day. Stavros is going to give you the background of the decision for the dividend, which we discuss internally with the Board, but Stavros is going to give you a little bit of a background about that.
Stavros Gyftakis: Thanks so much. Hi Tate. So basically, the dividend we're distributing is 50% of operating cash flow. The Board, we had extensive discussions. They have decided not to reserve any amount and not to account also for the buybacks that, we concluded during the quarter. The reason for that is that we are very positive on the market. The cash position of the company is very strong. And at the same time, we have very decent coverage for this quarter. We have 40% of our days at 28,000. And basically, the average is coming out nicely. So we saw no reason to do an extraordinary reserve, or to deduct the buybacks.
Tate Sullivan: Great. Thank you. And then can you talk, confirm the total cash outflow or the amount for the Kaizenship in the current quarter and then the purchase option for the Newcastlemax, is it about a $60 million cash outflow? And how much of that will be financed?
Stavros Gyftakis: There was only $2.7 million of the Kaizenship. I mean we have paid part of the equity as an initial advance back in the second quarter. So in this current quarter, I think we had only $2.7 million. And then there is basically zero outflow for the Titanship. The purchase option was favorable. It came out at around I don't know, it's around 60%, 65% of your market value. So we took financing for the entire amount. So basically no outflows for these ships. The outflow was minimal.
Tate Sullivan: Okay. Great. And Stamatios, you covered the market outlook, too, and it looks like a good increase in the supply of iron ore from the largest mining companies. Does that, I mean, overtake the amount of China demand? Or how has it worked historically or should not be too concerned about too much supply in the market?
Stamatios Tsantanis: Well, I mean, as far as the vessel supply is concerned, then we feel that 2025 is going to be a 0 increase or even a negative increase on the vessel supply. And the reason is, number one, because the order book is very limited. And also, we expect a very heavy dry dock schedule, because I remind you, Tate that the majority of the ships were built in 2010 and they are now going to be undergoing their third annual sorry, survey. That means that we expect to see a lot of tonnage entering the dry docks starting after the Chinese New Year and thereafter. So there will be a lot of tonnage unavailable for a big part of the year. And again, you have zero pretty much zero increase of the fleet, which is not really going to make an impact on the increase. At the same time, demand, it appears to be quite strong. I mean the actual trade flows of the volumes is very healthy. We don't see any disruptions. And China, again, I remind you that no matter the local slowdown, it appears that the steel producing industry is continuing to be exporting a lot of steel. So we don't really see any slowdown, as far as the steel production is concerned. Moving on to coal and bauxite. That is also quite strong. We don't see any slowdown in coal and bauxite. So overall, the picture for Q4 of 2024 as well as the overall picture of 2025 appears to be quite favorable to put it this way.
Tate Sullivan: Thank you. And last one from me on the leverage along with discussions with the Board. Are you comfortable going I mean, keeping around two to three times leverage ratio to that? Or are you looking at it relative or a different?
Stavros Gyftakis: Yes, we're comfortable with that, Tate, but I mean, the matter is dynamic. We might be taking some more leverage than the targeted leverage on some acquisitions, but then we have very steep amortization of the facilities. So by the time we do the follow-on acquisition and again, I mean, we tapped the debt market. Then the leverage on the previous acquisition has gone down very quickly, and very steeply. So we're comfortable provided that the market holds at these levels, and we can amortize the facilities as quick as we do.
Tate Sullivan: Great. Thank you for all the comments. Have a great rest of the day.
Stavros Gyftakis: Have a great day, Tate, Thank you.
Tate Sullivan: Thank you
Operator: Thank you. We're going to take our next question. And the next question comes from the line of Mark Reichman from Noble Capital Markets. Please go ahead. Your line is open.
Mark Reichman: Thank you. I just had two follow-ups. The first is on the return of capital. You've articulated the dividend policy pretty well. But in terms of the share repurchases, I mean, how are you thinking about that? Are you just kind of thinking about repurchasing to cover the shares that have been issued under options programs? Or how do you think about that relative to maintaining a good level of float in the market?
Stamatios Tsantanis: Well, thanks. It's a great question. We prioritize dividends over share buybacks. There are days that we feel that the stock might be a little bit more pressured. There's a selling pressure on the stock. And that those days, we initiate some buyback programs. That's how we do it. So it's very dynamic. We monitor the stock performance on a daily basis. When there is a need for us to do buybacks, we do buybacks. Overall, we prioritize dividends over buybacks.
Mark Reichman: Thank you. And the second question is just related to the whole theme of emissions reductions. How are you thinking about your fleet? I mean newer fleets tend to have lower maintenance expenses, perhaps they can get better rates in the market. I mean how do you feel like your fleet is positioned? I know there's some uncertainty with rules and regulations and fuels. So how are you and your Board kind of thinking about that?
Stamatios Tsantanis: That's a great question. Seanergy has been a pioneer in that field since 2015, '16 by installing a number of energy-saving devices and telemetry on board of our ships. We have taken the strategic decision that we will not move for now in new buildings, because we're not convinced that the new vessels actually offer any tremendous improvement versus the existing ones. Especially if you factor in the amount of money you pay for those ships, which is almost double than a quality 10-year-old vessel. So having said all that, we are skeptical about the new buildings. We do not really see any impact. And from a financial point of view, given that the forward market is anywhere between, let's say, $20,000 and $23,000, it doesn't really justify an investment. The $75 million ship has a breakeven of close to $30,000 or above $30,000 a day. So it doesn't really justify that investment in our opinion. So we invest on the existing ships. We make them more economical. We have done a number of improvements. There is a big spectrum of things that we do to improve our ships. So we're very happy with the results so far, and we're taking a wait-and-see approach that the solution of the so-called vessel of tomorrow or the ship of tomorrow, is going to appear in the following years. But so far, we will just enjoy the cash flow of the existing ships.
Mark Reichman: That's great. Thank you very much. Bye-bye.
Stamatios Tsantanis: Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect. Speakers, please stand by.